Brinlea Johnson: Thank you for joining us to discuss fuboTV’s Fourth Quarter and Full Year 2020. With me today is David Gandler, CEO and Co-Founder of FUBO; and Simone Nardi, CFO of FUBO. Before we begin, let me quickly review the format of today’s presentation. David is going to start with some brief remarks on the quarter and FUBO’s strategy, and Simone will cover the financials and guidance. Then I’m going to turn the call over to the analysts to dig into Q&A. Before we begin, I would like to remind everyone that this call may contain forward-looking statements, including statements about revenue, non-GAAP net loss and adjusted EBITDA, subscribers, recent acquisitions, development of a wagering offering, and other non-historical statements as further described in our press release. These forward-looking statements are subject to certain risks, uncertainties and assumptions, including those related to FUBO’s growth, evolution of our industry, product development and success, our ability to realize the anticipated benefits of recent acquisitions, our access to capital and fundraising prospects to fund our ongoing operations, our ability to capitalize on market trends, and develop and market a watering offering, and general economic and business conditions, such as effects of industry, market, economic, political or regulatory conditions, future exchange and interest rates, and changes in taxes and other laws, regulations, rates and policies, including the impact of COVID-19 on the broader market. These statements reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Description of these and other risks that could cause actual results to differ materially from these forward-looking statements are discussed in our reports filed with the SEC, including our most recent quarterly and annual reports and our press release that was issued this afternoon. During the call, we may also refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for isolation from our GAAP results. Reconciliation with the most comparable GAAP measures are also available in the press release, which is available at ir.fubo.tv. With that, I’ll turn the call over to David.
David Gandler: Thank you, Brinlea, and thank you all for joining us today. I am very excited to present to you our Q4 and full year 2020 results. The company has exceeded previously raised guidance with solid growth in revenue, subscription and viewership. Our mission is to provide the world’s most thrilling sports-first live TV experience with the greatest breadth of premium content, interactivity and wagering. We believe FUBO sits firmly at the intersection of three mega trends; the secular decline of traditional television, the shift of TV ad dollars to connected devices and online sports wagering, a market opportunity we believe to be complementary to our sports-first live TV streaming platform. Fourth quarter revenues were up 98% year-over-year, exceeding for the first time $100 million of quarterly revenue. For those who are new to fuboTV, top line revenue consists of two primary revenue streams; subscription revenue, which was up 91% year-over-year from $47.9 million to $91.4 million, and advertising revenue, which was up 157% year-over-year from $5.1 million to $13.1 million. Paid subscribers at quarter end totaled 547,880, and that’s an increase of 73% year-over-year. Given our sports-first differentiated position, we experienced continued momentum from the start of the fall sports calendar that was back in Q3 and throughout Q4 adding an impressive 92,800 net additions in the fourth quarter, and that’s up 237% from the prior year. Sports draws premium audiences and advertisers are increasingly coming to us to reach highly engaged viewers. For the full year, advertising revenue grew to represent 11% of total revenues compared to 8% in the prior year, helping to contribute to a record adjusted contribution margin of 11.7% in the fourth quarter and that’s up 1,100 basis points from the prior year. We believe our sports focused market position will help to further grow our business and our KPIs continue to improve. In 2020, average revenue per user per month increased 17% year-over-year to $62.84. And annualized ARPU increased by $109 to $754 per customer per year. And within that annualized ARPU of $754, we grew advertising ARPU to $81.76 per customer per year. And that’s an increase of 54% year-over-year, largely driven by an increase in per user engagement and investments in our advertising operations. Our customers continue to be our number one focus, and we continue to invest in our proprietary data to surface relevant content for our subscribers, driving engagement and retention. Our customers streamed over 500,000 hours in 2020, that’s an 82% increase year-over-year. Equally noteworthy, customers streamed an average of 7.2 hours of FUBO per day, indicating that we own significant timeshare in households. Over the long-term, we believe this level of daily engagement will provide numerous opportunities for us to further expand monetization on the platform. We continue to invest in our product and into expanding access to more streaming devices, such as Samsung TV and Xbox. In fact, churn improved 56 basis points year-over-year in the fourth quarter. And for the full year, churn improved over 200 basis points over the prior year. Only one quarter ago, I announced our intent to expand FUBO into the online sports wagering market. And I am very pleased to finally report that we have officially closed our acquisition of sports betting and interactive gaming company, Vigtory. This acquisition enables us to accelerate the launch of our owned and operated sports betting platform called FUBO Sportsbook. We’ve secured our first market access deal for our Sportsbook in Iowa through Casino Queen. And in connection with our launch in Iowa, we are also excited to announce agreements with Major League Baseball and the NBA to become authorized gaming operators for each league. These agreements will provide access to official data and the rights to MLB and NBA league marks and logos within the FUBO’s sports app once it’s rolled out. In addition to our Sportsbook, free-to-play predictive games mark the beginning of FUBO’s innovative gaming roadmap. We believe it will enhance the sports streaming experience while also providing a bridge between our video product and our Sportsbook. And we expect the integration of gaming with our expansive live sports coverage will create a flywheel that improves engagement and retention and consequently drives advertising revenue. In the third quarter of 2021, we plan to launch free gaming, first to fuboTV subscribers, and then later to all consumers. And in the fourth quarter of this year, we expect to launch the FUBO’s Sportsbook. We don’t see wagering simply as an add-on product to fuboTV. Instead, we believe there are significant synergies between streaming consumers who enjoy wagering and wagering customers who enjoy streaming live sports. So in 2021 and beyond, we are laser focused on bringing to life our vision of a streaming platform that transcends the industry’s current virtual MVPD model and experience. In conclusion, we are very proud of our 2020 results. And as you’ve seen from our shareholder letter, we are raising our 2021 guidance we laid out for you last quarter. The team is focused on delivering the best streaming experience to our customers, which will drive top line growth. And the power of our model will enable us to further our progress on our path to profitability. In 2021, we will continue to expand the breadth of our sports programming while introducing interactivity and wagering to further differentiate our service in the marketplace. And now I’ll pass it over to Simone to discuss our 2020 financial highlights and guidance for 2021. Simone?
Simone Nardi: Thank you, David, and good evening, everyone. Our strong performance in the fourth quarter exceeded our outlook and capped off a great year for FUBO. We executed well and deliver record results. Before taking your questions, I will walk you through a few financial highlights and discuss our guidance for 2021. In the fourth quarter, we grew total revenue to $105 million, an increase of 98% year-over-year compared to fuboTV pre-merger. This growth was driven by continuous strength in both subscription revenue, which increased 91% and advertising revenue, which increased 157%. It accounted for 12.4% of total revenue in the quarter. Revenue for the full year was $269 million on a pro forma combined basis or $261.5 million, excluding FaceBank AG and increase of 78% compared to fuboTV’s pre-merger 2019. Subscription revenue increased 73% and advertising revenue was up 133% accounting for 11% of total revenue in 2020. We continue to focus on both the top line revenue growth, as well as advancing on our path to strong, sustainable margin in the long-term. On a full-year basis, we reported a 10.1% positive adjusted contribution margin up from negative 3.1% in 2019. We believe that over the long-term we’re well positioned to continue to drive year-over-year expansion. After our successful registered public offering in October 2020 and are pleased into NYC, we further strengthen our balance sheet in February with the issuance of $402.5 million of senior convertible notes. With a strong balance sheet, we plan to accelerate the investment in our team and further build our product development to continue to position the company for long-term growth. More broadly in 2021, we will continue to be focused on investing in and executing on our growth strategies, which include growing our subscriber base, increasing advertising revenues and expanding into sports wagering. Moving to our guidance after our strong performance in 2020, we’re excited about our outlook for 2021. Although, we are very optimistic for what is in store for our future wagering business. Our guidance does not include any potential wagering revenue at this point in time. Also a comparison of guidance to prior year would refer to the combined pro forma fuboTV FaceBank 2020 numbers, excluding FaceBank AG, a business that we sold last year. For the first quarter of 2021, we expect revenue between $101 million and $103 million. These represent the growth of 100% year-over-year at the midpoint of the range reflects the typical seasonality between Q4 and Q1. Historically, Q1 has been softer than Q4, when viewed sequentially on revenues as well as contribution margin. Similarly, we’re guiding to Q1 end of the period subscribers of 520,000 to 530,000. This represents growth of 82% year-over-year at the midpoint. For the full year, we’re guiding to year end subscribers of 762,000 to 770,000, an increase of 40% year-over-year at the midpoint of the range we provided. The strong subscriber growth combined with increasing expansion in advertising revenue give us confidence to increase our 2021 revenue guidance to $460 million to $470 million, up over 75% year-over-year. This is opposite from our previous guidance of $415 million to $435 million. In conclusion, we’re very excited about our growth opportunities and remain focused on driving long-term expansion and profitability. Brinlea, we’ll now open it up for questions.
A - Brinlea Johnson: Thank you, Simone. At this time, we’re going to turn the call over to our analysts for Q&A session. Please try to limit yourself to two questions so we have enough time for everybody to participate. Our first question comes from Laura Martin of Needham. Laura, please go ahead.
Laura Martin: Hi, there. Great quarter, you guys, and great outlook. Let’s start with gaming and talk about the question I get most often from investors. The shareholder letter says that ultimately you want to integrate wagering into FUBO’s live TV product. My question is, after you work out the bugs of integrating into FUBO, are you willing to license this tech to other – either use it as a negotiating leverage to get content at a cheaper price from people at Comcast, you could use it in their book of business or actually license it to people like Charter that’s sort of a big bundle and I don’t really view as a competitor to virtual MVPD?
David Gandler: Well, thank you, Laura. Great question. And we do get this question often as well. From our perspective right now, we’re very focused on our direct-to-consumer business and we’re trying to build a service that allows us to take advantage of the synergies on both the video and on the wagering side. And at the moment, we’re building a team that is really focused on adapting to the current video product. And so for the foreseeable future, we’ll probably focus on our direct-to-consumer business, but I don’t want to close the door to potential opportunities to work with other MVPDs.
Laura Martin: Estimates; could you – one of the use of proceeds from our October IPO was the fact that you were going to hire a lot of salesmen to try to get the CPMs up from $20, which is like the programmatic CTV seat cost per thousand to $30. Could you talk about your progress there and where you think you’ll end the year in terms of cost per thousand for advertising?
David Gandler: Yes. So first of all, we’ve done a tremendous job very quickly building up our advertising capabilities from Q3 through Q4. And as you saw from the shareholder letter, we finished the year with $8 and roughly $0.50 of ad ARPU, well above what we did even in the third quarter. As you recall, political took up about 15% of that revenue. So we’re able to replace that quite nicely. We continue to hire on the direct side and building up our sponsorship capabilities, but at the moment we’re still focused on programmatic. What’s interesting about that is we have significant upside. If you think about, our CPMs are still in this sort of $20 to $22 range, which gives us again enormous upside. We’ve really been focused on fill. And just given the engagement levels that we’re seeing, we’re starting to see actually more inventory, which is helping us take our time building out our team.
Laura Martin: Thanks very much. Great quarter, you guys.
David Gandler: Thank you.
Simone Nardi: Thank you.
Brinlea Johnson: Thank you, Laura. Our next question comes from Kevin Rippey of Evercore. Kevin, nice to see you.
Kevin Rippey: Thank you for taking the question, guys. I guess my main one is, as it relates to the revenue guidance you guys laid out for next year, can you give us maybe a little bit more granularity about your expectations for subscription ARPU relative to advertising?
David Gandler: Do you want me to start? Yes, okay. So Kevin, first of all, thank you for that. I think the way you should think about 2021 is similar to the way we finished 2020. If you look at our subscriber growth, subscriber ARPU grew at about 13% and advertising ARPU grew at 52%. Given the strength in the advertising business, coupled with advertisers desire to access connected devices, and then layered on top of that addressability, we’re very confident that we’ll continue to grow our advertising revenue well ahead of our subscription revenue on a per user basis.
Simone Nardi: Yes. Just to add on top of what David just mentioned, I mean, we closed 2019 with advertising revenue roughly at 8% of total revenue, 2020 we increased that to 11%, and we definitely see advertising to become a more prominent part of our business in the longer term.
David Gandler: Yes, the tailwinds are very strong right now.
Kevin Rippey: Got it. Thanks. And then just on the subscriber growth guidance you guys have given, can you give maybe a little granularity about expectations around gross addition relative to further churn improvements?
Simone Nardi: Yes. So we’ve seen – as you’ve seen in our guidance, we are projecting in Q1 a little of the seasonality kicking in and kind of bringing us less a flat or a little down compared to Q4 2020. This is a much lower reduction that we experienced last year. And we continue to assess opportunity to kind of increase this number and look at how to mitigate the seasonality. On the longer-term, we’re still projecting a strong growth in our subscribers that we’ve seen. And as you know, we’re laser-focused on addressing opportunities to drive efficiently the marketing push to return subscriber growth that allow us to kind of deliver improved results.
David Gandler: Yes. Just to add to that Kevin, 2019, the slope at which we deteriorated from Q4 to Q1 was roughly about 9%. And this year we are projecting to be about 4% below Q4 and that was a very strong fourth quarter. So we’re very happy about the early trends in January. Obviously, we don’t have – we’re not done with the quarter yet, but momentum was strong. We feel very good and that allowed us to sort of take up our guidance a little bit.
Kevin Rippey: Great. Thanks guys.
Simone Nardi: Thank you.
Brinlea Johnson: Thank you, Kevin. Our next question comes from Jason Helfstein of Oppenheimer. Jason, go ahead.
Jason Helfstein: Thanks. I’ll ask you first on the video. Maybe help us a little bit how you’re thinking about 2022 non-GAAP contribution profit, maybe just perhaps in the margin range? And then second, I think Iowa recently ended in person registration around online sports betting. How does that impact your outlook? And does it allow you to get to market faster? Thanks.
Simone Nardi: So in terms of the adjusted contribution margin – thank you, Jason. In terms of the adjusted contribution margin, we don’t provide guidance at this point about these metrics, but we are clearly very focused on expanding our business focusing on growth with an eye to ensure that we continue to improve in our path to profitability delivering an year-over-year improvement of our margins. So our sequentiality can change even the seasonality. On a year-over-year basis, we continue to grow the business and return more value to the shareholder knowing though however that between wagering and potentially other alternative, other acceleration opportunities, we may decide to invest further and more quickly in the next few quarters to accelerate the future growth.
Jason Helfstein: And then on the Iowa question?
David Gandler: Sorry, go ahead. Jason, I couldn’t hear that second part of your question.
Jason Helfstein: Sure. So Iowa recently ended in person registration for online gaming and which would make it easier to build the business there. You just talk about how does that impact your outlook and do you think you can kind of come to market there maybe sooner now they’ve got policy changed?
David Gandler: Yes. So, obviously, I’m not prepared to comment on policy. I will say that we have embraced regulation. We’ve already taken a few calls. And we’re again very excited about the space. We’re very excited about our acquisition of Vigtory, and Scott Butera and Sam Rattner joining our team. And so we’ve been very focused on figuring out what are the areas in which we want to focus. And what I can say is what I’ve found to be really compelling is the number of crossover synergies that I didn’t even realize, particularly around incentives, which is an area that we’re going to be very focused on. Right now our goal is to potentially get to – between one and three markets before the end of this year. But based on what we’re seeing and sort of the interest levels from some of the potential partners and some of the commentary that we’ve received from regulators, we feel really good about the space.
Jason Helfstein: Thank you.
Brinlea Johnson: Thank you, Jason. Our next question comes from Dan Salmon of BMO. Dan, go ahead, please.
Dan Salmon: Good evening, everyone. Maybe just to follow up on the questions about the improvement in churn, just more directly ask what would you count as your top two to three contributors to the improvement in churn, everything from a lineup to focusing on higher value customers, where are you seeing the levers really help drive that improvement? And then just the second, on the advertising side, my question is do you expect to launch a self-serve ad platform in 2021? And where does that stand on your list of product roadmaps for the advertising business? Thanks.
David Gandler: Yes. Thank you, Dan. Those are some very good questions. On engagement, I have to say the team has done a phenomenal job in Q4, really attracting subscribers that are high value that are very sticky. When we look across our engagement metrics, we see increased viewership, 127 hours. We also see increased number of daily active users. We’ve seen an increase in the number of programs people are watching on average in 2020. We’ve got to 154 programs per customer. So we feel very good about the types of customers we’re attracting. We feel good about the bundles that we’re selling, which have much higher attachment rates. Attachment rates have increased by 3x from the prior year. So that is obviously adding to strong engagement numbers. And what’s interesting is when we look at our 12-month retention cohort, we see a very solid lift there. And that’s why we’re starting to get really comfortable with our position in the marketplace. And to your second question, if you could just repeat that, we didn’t hear you that well.
Dan Salmon: Self-serve advertising, where does that stand on the roadmap?
David Gandler: Yes. Look, I think that, first of all, our advertising revenue is quite strong, even relative to where we were just six months ago. And the three things that – the three levers that move our ad ARPU per customer is really that fill rate, number one. Number two is the number of hours that people are watching, which is increasing and then the CPM. And so when you think about the fact that we’re able to get to $8 and roughly $0.50 per customer, we feel that we’re not really in a position to focus on a self-serve platform. I think once we start to exceed $10, $11 or $12, it probably makes more sense to focus resources in an area where we can maximize our advertising revenue. So we’re not there yet, but that’s a good thing of course, because we’ve got a lot more monetization ahead.
Dan Salmon: Thank you.
Brinlea Johnson: Thank you, Dan. Our next question comes from Darren Aftahi from ROTH Capital.
Darren Aftahi: Hi David and Simone, congrats on the quarter. Two questions, if I may. First, you added a fair amount of gross subs in the second half of the year. I’m just kind of curious two months in how retention of that is looking from that cohort. And then David, on prior calls, you guys have talked about use of AI and being thematic in 2021, I’m kind of curious your plans in using AI in conjunction with all the vast amount of data you have on your sub-base improve results. Thanks.
David Gandler: Okay. Why don’t I start from – I think the second question was on AI. Look, we’re very excited about data in general. As you know, we collect about 22 billion data points per month, and we’ve really invested into our BI team and machine learning. And as you can see from the engagement hours that continue to increase, we do a good job surfacing content for our users at the right content at the right time. And so the interesting thing about that is we think we can leverage that data for wagering as well. So we think that there’s a lot of areas in which where our video team can support the wagering group and really driving a lot of engagement. So we’re going to be very focused on machine learning in 2021. Again, we’re very happy where we are today and just some early data points in January. The quarter, at least in January is looking pretty solid. Again, we had a nice sports quarter with college football and then most recently we had the Super Bowl. And so the numbers are there looking strong and we think we have enough audience to really build some really solid algorithms to really surface the right content. And then over the long haul, surface the right potential betting opportunities as well. So we’re thinking about this actually holistically, and we’re very excited about it. To the first part of your question, I don’t know, Simone, you want to answer that.
Simone Nardi: Yes. So the second half of the year for us, Darren, as you know, it’s where we get the majority of the step growth. We added 262,000 net ads in Q3 and Q4 last year as well. Consistently, we invested in marketing to drive this growth. And we actually seen already from the behavior of these new additions that they know they are actually quite engaged and they’re showing very promising and interesting attachment and engagement to the platform. So we’re quite pleased with that one again, clearly, first half for the year is more of a consolidation phase. And as I mentioned before, we’re going to work on solutions to kind of improve that situation as well.
Darren Aftahi: Great. Thank you.
Brinlea Johnson: Thank you, Darren. Our next question comes from David Beckel of Berenberg. Welcome David.
David Beckel: Thanks a lot for the questions. I appreciate it. I’m doing all right. The two sort of questions on the spending side. I appreciate the revenue guidance, of course. But particularly, as it relates to 2021 I think you mentioned you plan on the breadth of the sports offering? If I heard that correctly, does that imply the addition of specific types of sports content that you don’t currently have? And if so, I assume that you expand – you plan to expand the top line enough to continue to grow contribution margin? And then secondarily, I was hoping you could expand a little bit on, how quickly, and in what direction you plan on spending the $400 million plus that you just raised and any sort of framework or guidelines you could provide on a rough sort of EBITDA number would be really helpful?
David Gandler: So why don’t I take the first part of the question around content. Look, our job is to continue to optimize our packaging. So when we say expand the breadth of sports, as you recall, in 2020 we decided to work with Disney and allowed our Turner deal to expire. So you should think of it as that, we are going to be very measured and very disciplined as we have been throughout the year. And that goes for everything that we do here at FUBO, but we will be looking for opportunities for us to expand the breadth of content that our current subscribers really enjoy. Simone, on the second.
Simone Nardi: Yes, exactly. At that point, I mean on a margin basis, David, as you know, we don’t provide guidance on the specific metrics at this stage. But as you’ve seen in Q4, our subscription related expenses, that is including our content costs and we mainly represent our content costs was 86% of the total revenue showing the benefits of the strategy of growing, advertising, expanding advertising, up-selling, and expanding our business that way. In reality that 86% is kind of 90% once clean up from some unusual items. Now clearly that is moving in the right direction is not going to be exactly that’s going to be there every quarter consistently. But on the longer term, the discipline approach on growing, advertising and monetization and controlling, optimizing the content offering will help us to going to continue to deliver improvement over the long-term in our margin. In terms of the adjusted EBIDA, we don’t get yet at that level in terms of our guidance, we will deliver more when we get close to the quarters.
David Beckel: Great. Thank you.
Brinlea Johnson: Thank you, David. And our final question comes from Jim Goss of Barrington. Nice to see you, Jim.
Jim Goss: Nice to see you. So a couple questions, first in terms of sports wagering and I was wondering if you need any more acquisitions or do you feel that the current platform and people provide you with the capabilities of growing our game play now that you have those in place and you can grow with those. And secondly, ViacomCBS had a meeting the other night, as I’m sure you’re aware, and they talked a lot about Pluto TV, their AVOD service, and also the incorporation of more live sports in terms of what they plan to be providing in $4.99 and $9.99 packages. And I’m wondering if you view those as a competitive alternatives and threats that you feel you need to look at as well.
David Gandler: Thank you, Jim. These are both very important questions and on question number one, we’re very excited about our two acquisitions, Balto Sports and Vigtory. In fact, the more time that we spend with them, the more excited we are about the talented two groups that we brought together. And we’ve just closed as we mentioned in our shareholder letter our acquisition of Vigtory, next week they’ll already be in New York and we’re already meeting with the different teams at FUBO. So with respect to potential opportunities, look, we’re disciplined, but we’re also aggressive. And we were able to pick up two companies that we think are great, and you can tell by how quickly we’re moving with deals with the with Major League Baseball and the NBA and Iowa, and also getting in front of regulators. So very happy about that. However, we are always in market looking for potential acquisitions that we think will significantly improve our ability to deliver value to our customers. And so we’ll continue to do that. As it relates to your second question around ViacomCBS, there’s a lot of players with lots of great offers out there. In fact, this is a wonderful time to be a consumer in America. You get amazing content from dozens and dozens of amazing media companies and new players like the Apples of the world. I don’t believe that these companies are a threat to us at all. fuboTV very specifically is a sports first cable TV replacement service. It does not compete with $4 services. It does not compete with $10 services. And if you’re a CBS customer and you really love CBS and you don’t watch anything else, I would actually urge you to go pick up your CBS Paramount+ subscription because it is phenomenal content. But if you’re looking for a more robust package, that includes all the sports that you want with great content from other media companies, then you’re probably going to be in the market for a product like ours. And lastly, I would say that there are still 75 million Americans that have a MVPD service. And I’m sure you the latest Parks Associates report. I think that came out in January where based on their findings, 43% of cable TV households are likely to switch to a virtual MVPD streaming product. So the market is very large. We think that we’re going to be very successful in this market, particularly as we combine some of these other capabilities that we’ve talked about today. But that’s it really.
Jim Goss: Okay. Thank you.
David Gandler: Thank you.
Brinlea Johnson: Thank you very much, Jim. Appreciate your questions. This now concludes the fuboTV earnings call. We thank you very much for tuning in and look forward to keeping you updated on our progress. Good night.